Operator: Good day, ladies and gentlemen. Welcome to the Q3 2016 Investor Call. I would now like to turn the meeting over to Ms. Aurora Davidson. Please go ahead, Ms. Davidson.
Aurora Davidson: Thank you, Marie. Good morning, ladies and gentlemen and welcome to the Q3 2016 investor conference call of Amerigo Resources Limited on Thursday, November 10, 2016. I am Aurora Davidson, the company’s Executive Vice President and Chief Financial Officer. Before we begin our presentation, let me caution you that our comments and discussions will include forward-looking information within the meaning of applicable securities legislation. Such forward-looking information will include, among other things, forecasts and projections of about our copper production for 2016, which involves known and unknown risks, uncertainties and other factors that may cause the actual results, performance or achievements to be materially different from such forecasts and projections. Therefore, although we believe that the anticipated future results, performance or achievements expressed or implied by the forward-looking information are based on reasonable assumptions and expectations, you should not place undue reliance on such forward-looking information. You should review our press release issued on November 9, 2016, and our other documents filed with the securities authorities in Canada, including our annual information form under the heading Description of the Business Risk Factors. These documents describe the material factors and assumptions that were applied in drawing the conclusions and making the forecasts and projections as reflected in the forward-looking information and the material factors that could cause our actual results, performance or achievements to differ materially. Except as required by law, we undertake no obligation to update or revise any forward-looking information made in this presentation. I would now like to introduce the company’s President and Chief Executive Officer, Rob Henderson.
Rob Henderson: Thank you, Aurora, and thank you for everyone joining the call. We’ve ended an eventful quarter and have emerged in a strong position to take advantage of rising copper prices. For the third quarter of 2016, the company reported record production of 16 million pounds of copper and we had $1.7 million of cash flow from operations and MVC restarted production of molybdenum and they signed a three-year labor agreement with the union. The group’s recorded copper price for the quarter was very low at $2.13 per pound, however, we believe that the fundamentals are in place to support an increase in the copper price. The world is seeing copper inventories declining due to continued strong demand from China and we have future reductions in copper production from countries such as Chile, which have not invested the capital required to sustain production. Analysts’ content that copper will return to $3 a pound and we think this will occur sooner rather than later and the recent activity in the copper price is encouraging. At MVC, the Cauquenes deposit is performing very well and is meeting all expectations. MVC produced 9.7 million pounds of copper from the historic Cauquenes deposit, 5.6 million pounds of copper from the Fresh Tailings and 0.7 million pounds from Maricunga. The 90-day production completion test required for the bank loan is due to be successfully completed this month on schedule. And MVC is now setup to produce copper at an annual run rate of 60 million to 65 million pounds of copper per year. As I mentioned, MVC commenced with the production of molybdenum concentrates in August and Q3 2016 production of moly was approximately 138,000 pounds. MVC expects to produce approximately 1.4 million pounds of moly per year and this rate is almost double that from the prior years due to the higher moly grade in Cauquenes. MVC has done a great job in reducing capital operating costs. The Q3 2016 cash costs of $1.60 per pound was substantially lower than the Q3 2015 cash cost of $2.07 per pound. However more work still need to be done on reducing operating costs as payments for the El Teniente royalty and the bank service will continue to put pressure on MVC. As we announced in our press release last month, MVC had an 8 day strike when the union voted not to renew the collective labor agreements. On October 13, 2016 negotiations between MVC and its 216 member union concluded satisfactorily and they entered into a new three-year collective agreement. The cost to the company for the signing bonus is estimated to be approximately $1.3 million spread over three years. Although production was affected by the strike, MVC still maintains its original 2016 production guidance of $55 million to $60 million pounds of copper at an annual cash cost of $1.65 to $1.85 per pound. Negotiations on the El Teniente royalty are still in progress and we continue to believe that our royalty rate is excessive under the current low copper price environment and is not sustainable. In Q3, El Teniente received $5.6 million of royalties while MVC incurred a loss. These negotiations are in progress but they may still take time to be ratified by the head office. Our key objective this year is to complete the Cauquenes ramp up program and to ensure the MVC liquidity. We made a substantial investment into MVC and I believe we are now well positioned to take advantage of future increases in copper prices I will now hand over to Aurora to discuss the Q3 financials.
Aurora Davidson: Thank you, Rob. As you said, Q3 2016 was once again a quarter headed in the right direction with stronger production as a fundamental driver behind improved financial results posted by the company. Copper prices however continued at a level during Q3. The company’s quarterly average copper price was only $2.13 per pound. MVC continued with its efforts to contain or reduce costs and was able to post the cash cost of $1.60 per pound in the quarter. However, the current level of royalty felt at El Teniente which in Q3 were $0.36 per pound continues to be source of financial stress at low copper prices. The company continues to operating a red with narrowing losses and reported quarterly net loss of $2.5 million and generated cash of $1.7 million from operations in Q3. Molybdenum production restarted in August and the operation is now profitable at current low molybdenum prices. Favorable terms were sought and obtained to operate the moly plant as efficiently as possible to a subcontractor who will refurbish the plant at a cost of $1 million which are payable over two years by MVC. MVC also entered into an agreement to outsource the operation of its two power generators reducing the fixed cost component to MVC while retaining the profit margin exposure provided when generators operated. Relationship with our lenders continue to be positive and supportive. The company reached an important milestone with the lenders in Q3 when its funded in full at data service reserve account with $7.5 million. In addition to the $7.5 million, the company held cash of $13.6 million for total cash and cash equivalents of $21.1 million held at September 30. The company received $3 million in Q3 from the El Teniente copper price at [indiscernible]. The final $1 million in the facility was received in October and a total of $70 million have been received to date which are repayable by December 31, 2019. We continue to closely and diligently monitor treasury requirements the company’s with next payment in December 2016 for approximately $7.2 million of principal and interest, and the company has an assigned fun to meet that commitment. The company confirming testing and going concern assumptions were conducted satisfactorily again in Q3 at an average 2016 copper price of $2.40 per pound and at 217 projected $2.21 per pound. Those are below the current trend of stronger copper pipe. We expected production of financial results will continue in the right direction in Q4, I will look forward to meeting again in February 2017 to report the company’s first year of operation under the Cauquenes expansion. Operator, I think that those are the comments and the floor is now opened for questions and answers.
Operator: Thank you. [Operator Instructions] We have a question from the Joseph Reagor from Newport Beach, California please go ahead, your lines are now open.
Joseph Reagor: Good morning everyone and thanks for taking the questions. A couple of things, I guess the first one being kind of a balance sheet question, on your liability side, your short-term loyalties to related parties seems to fluctuate a significant amount from quarter-to-quarter and obviously it’s impacting the overall cash flow of the company a bit. Is there an expected level exiting this year that you're targeting?
Aurora Davidson: Well, when the items went that or one of the drivers that is affecting the short-term portion of the liability to related party is that the fact that we have deferred a payment of the portion of that royalty that is associated with the Cauquenes production. As an agreements, two good company during 2016 when it was facing some cash flow constraint that is the reason why the actual amount payable has increased from conditional levels where we only had one month offending, being the month in which we were quantifying beyond and liability within the next month. Another item that affects derivative is a valuation derivative because there is a derivative associated with cash flow of royalty payment. And it does fluctuate a lot worse based on the way we use on. Also it is not that portion of the non-cash item is subject to some volatility but on Cauquenes world we have been defending the course of those payments in 2016 and that is disclosed in our note to related parties.
Joseph Reagor: Okay. That’s helpful. And on the production side, can you guys quantify the impact from the short term strike as far as did it impact first railings of all the to the impact just Coke one as you know and know how we should think about that. I didn’t move your range and wasn’t probably material most of you to justify that but just kind of for modeling purposes the net potential impact there.
Rob Henderson: Sure. We shut the plant down for safety, security reasons. So essentially we had no production for an 8-day period. For your modeling purposes, I would take that out of your model. But as I mentioned, we do expect to comfortably achieve our guidance towards the higher end. We were impacted but not materially.
Joseph Reagor: Okay, fair enough. And then I know on the last call you were talking about because of the very weak copper price, you guys are trying to negotiate with Codelco, renewed royalty to account for those low prices. Now with copper at 2.55 today, is that still in the words? Is there still a potentiality there or is that kind on the back burner as long as the prices remain where they are at?
Rob Henderson: We’ve been in discussions with [indiscernible], so the discussions are still in the works. The increase in the copper price may decrease the urgency on their side, but we would certainly like to see a completion of this discussion which has been going on for some time now. So the discussion – the timeline hasn’t changed with the increase in copper price, so we are still expecting some feedback from them this month.
Joseph Reagor: Okay. I will turn it over. Thank you.
Operator: [Operator Instructions] We have a question from Stephen Autridge [ph] from Vancouver. Please go ahead. Your line is now open.
Unidentified Analyst: Yeah, hello, there. A question for you, about the first tailings that came down when the strike was on, did they go back into Colihues so they just continue down the shoot and lost forever?
Rob Henderson: A portion went into Colihues. When the strike happened, we basically stopped the plant and shut the gates and the tailing has continued on down to Caren, but El Teniente got a bit nervous about the security of their tailings canal and put the tailings into Colihues for a period of about two days. So the answer is it’s a bit of both, some of the tailings went into Colihues and some went on down to Caren, the majority went on down to Caren.
Unidentified Analyst: Yeah, okay. The negotiations you are conducting with Codelco on the royalty, if that happens would that sort of be backdated like to the first of this year or it be ongoing until you settle it?
Rob Henderson: That was our position. It remains to be seen as to what it ends up with.
Unidentified Analyst: Okay. So you’re going just back to beginning of this year is what you are after?
Rob Henderson: Yeah, we did commence these discussions in December last year and we did have some temporary relief when they suspended royalties for fourth month would delay them for four months, delayed payment of them. So they are understanding of our position. However, the three-way discussions between El Teniente, Codelco and ourselves complicate the matters. So we really don’t have a good understanding of where we are going to end up.
Unidentified Analyst: If you can just elaborate on this product test required under the expansion loan, I mean, you’ve already got the loan, so…
Rob Henderson: Yeah, yeah.
Unidentified Analyst: So what is the test suite, is it just you are now happy that they’ve given you the loan?
Rob Henderson: Correct. I mean, this is pretty normal. Under a project financing is that once the project is in production, you will then revert to a cheaper financing scenario, interest rates drop a bit once you are cleared in production. And then normally that takes a test to ensure that you meet certain parameters, quality, quantity, et cetera. So we’ve been – we have been running this test for the last 90 days and we believe we met all the requirements as of like yesterday, so it’s very recent completion of this test and now we are going to be applying to the banks to benefit from a slightly lower interest rate.
Unidentified Analyst: Well, that’s got to be good. Now on the – another question for you, on the moly plant revenue how does that get back into MVC when you got this third-party person sort accompany doing the processing? You know it’s about $1 million, right?
Aurora Davidson: Yes, the revenue is always MVC because the concentrates of moly that are being produced still remain to be a property of MVC, MVC sell them, in this case, to Molymet. The only change is that instead of having a bunch of employees and managing or conducting the operations through MVC staff, we are conducting it through a staff contractor, so the impact is on the cost side, the revenue transitional phase is all under the control of MVC.
Unidentified Analyst: Okay, okay. That’s good. Thanks. And the other thing was that there was a significant drop in the grinding media cost, is that being maintained?
Rob Henderson: Yes, it is Stephen. The Cauquenes material is very fine and it doesn’t require a whole bunch of grinding. We are also benefiting a bit from reductions in the steel prices. So it’s a bit of both of quantity and volume heating towards the reduction in steel price, but we think it is sustainable.
Unidentified Analyst: Okay, okay. That’s good. That answers my questions. Thank you.
Rob Henderson: Thank you.
Operator: [Operator Instructions] There are no further question registered at this time. I would like to turn back the meeting over to you Ms. Davidson.
Aurora Davidson: Thank you very much Marie. We appreciate the participation of our investors this call and once again we look forward to reporting to you annual results early next year. Thank you.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time and we thank you for your participation.